Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Ituran Fourth Quarter and Full Year 2020 Results Conference Call. All participants are at present in listen-only mode. Following management’s formal presentation, instructions will be given for the question-and-answer session.  As a reminder, this conference is being recorded. You should have all received by now the company’s press release. If you have not received it, please contact Ituran’s Investor Relations team at GK Investor & Public Relations at 1-646-688-3559 or view it in the News section of the company’s website at www.ituran.co.il. I will now hand over the call to Mr. Ehud Helft of GK Investor Relations. Mr. Helft, would you like to begin, please?
Ehud Helft: Yes. Thank you, operator. Good day to all of you, and welcome to Ituran’s conference call to discuss the fourth quarter and full year 2020 results. I would like to thank Ituran’s management for hosting this conference call. With me today on the call are Mr. Eyal Sheratzky, the CEO; Mr. Udi Mizrahi, Deputy CEO and VP Finance; and Mr. Eli Kamer, the CFO of Ituran. Eyal will begin with a summary of the quarter results, followed by Eli with a summary of the financials. We will then open the call for the questions-and-answer session. I’d like to remind everyone that safe harbor in the press release also covers the content of this conference call. And now Eyal, would you like to begin, please?
Eyal Sheratzky: Thank you, Ehud. I’d like to welcome all of you, and thank you for joining us today. I hope you and your families are continuing to stay healthy. We are very happy with the improvement in our results in the fourth quarter, which outperformed our expectations, and what concludes a very hard year for everyone of us. Despite being a difficult year for everyone, we are pleased that we maintain our profitability and strength. And in particular, we generate record operating cash flow of $60 million. This is a solid demonstration of the trends of our business even in the toughest of times. For the fourth quarter of 2020, revenues were $63.6 million, growing by 3% year-over-year in local currency terms. And bear in mind that the year ago fourth quarter was pre-corona. Our aftermarket subscriber growth was 21,000 net in the quarter, which is a growth rate, we are very happy with, and at a level that we typically expect in normal times. I see this as a very positive sign for the coming quarters, and it shows that Ituran is well underway to recovery and renewed growth. On the profitability side, as you know, we have managed the business very carefully to ensure we remain lean and profitable. For the quarter, we reported EBITDA of close to $17 million, demonstrating growth of 17% year-over-year in local currency terms when excluding last year’s impairment. This shows that we continue to be successful in mitigating the impact of the pandemic on our improving profitability. It is a strong testament to the overall resilience and stability of our business model. On the cash side, fourth quarter cash flow from operating activities of $16.5 million, bringing our cash and marketable securities position to just under $79 million. Because of the continued cash generation, strong results and improvement in the general market environment, the Board decided to restart the dividend payment policy to shareholders with a payment this quarter of $10 million for 2020, and the new policy of issuing at least $3 million on a quarterly basis. We are very pleased to renew the sharing of the rewards of Ituran’s success with our shareholders. Again, the Board is remaining conservative while the pandemic is still having its impact, and will review the policy as things develop.
Eli Kamer: Thanks, Eyal. I note that the results I present will all be on a GAAP basis, including adjusted EBITDA, which excludes revenues and costs related to the purchase price allocation. We believe this will provide a better understanding of our ongoing performance. Revenue for the fourth quarter of 2020 was $63.6 million, a decrease of 3% compared with revenues of $65.5 million last year. In local currency terms, fourth quarter revenue increased by 3% year-over-year. Revenues from subscription fees were $45.8 million a decrease of 8% year-over-year. In local currency terms, subscription fees were at the same level as that of last year. The subscriber base at year end was 1,768,000, an increase of 16,000 net over that of the end of Q3, 2020. During the quarter, there was an increase of 21,000 in the aftermarket subscriber base and a decline of 5,000 in the OEM subscriber base. Product revenues were $17.9 million, an increase of 13% compared with that of the fourth quarter of 2019. The geographic breakdown of revenues in the fourth quarter was as follows; Israel 49%, Brazil, 23%, rest of world 28%. Operating income for the quarter was $12.1 million, 90% of revenues compared with an operating loss of $16.4 million in the fourth quarter of last year. I know that fourth quarter 2019 operating expenses included an impairment loss of $26.2 million related to the acquisition of Road Track Holdings. In local currency terms and excluding last year’s fourth quarter impairment, the operating income would have grown by 33% year-over-year. EBITDA for the quarter was $16.6 million, 26.1% of revenues compared with an EBITDA loss of $10.7 million in the fourth quarter of last year. In local currency terms and excluding the above mentioned fourth quarter, 2019 impairment, EBITDA would have increased by 17% year-over-year. Financial expense for the quarter was $2.2 million compared with a financial income of $3.3 million in the fourth quarter of last year. In the quarter we were impacted by non-cash expenses, primarily due to exchange rate exchange on Ituran’s U.S. dollar cash holdings in Israel as well as the change in market value of SaverOne, while the financial income last year was as a result of the change in obligation to purchase the non-controlling interest of Road Track in the fourth quarter of 2019. Net income for the fourth quarter of 2020 was $6.8 million, 10.7% of revenues or earnings per share of $0.33. This is compared to a net loss of $15.3 million and net loss – loss per share of $0.73 in the fourth quarter of 2019. Cash flow from operations for the fourth quarter of 2020 was $16.5 million.
Operator:  The first question is from Tavy Rosner of Barclays. Please go ahead.
Peter Zdebski: Hi, this is Peter Zdebski on for Tavy. Thanks for taking my question. Congratulations on a solid quarter. I was wondering if you could give us some color – some more color on the gross margins in the quarter and maybe on the trajectory going into 2021 particularly on what seem to have a big uptick in the product gross margin in the quarter? And then also as a follow up, I just – I was wondering if you could give us an update on the Road Track operations and the current strategy there.
Eyal Sheratzky: Okay. So regard the gross margins and the – I would say, the increasing in the hardware sales during Q4, I would say that this is not a typical and average quarter. And the reason is that, if you remember, until around July, August, the plans, the production lines were closed in Mexico and in Brazil. And as you remember, our OEM business is done with two car brands in those regions. So soon after the lockdowns finished, and the market start operating again, there was, I would say, impact on their needs to increase their inventory. And they automatically made a very high purchase from us for the hardware and the plans that they are buying from us. So I would say that Q4, it’s not a typical quarter. This, by the way, is something that can explain that the growth in our gross margins, which reflect also to the growth on our operating profits from Q3, the sequence of the situation is more than $1 million difference, which is not a typical growth quarter-to-quarter in Ituran. So in order to be more realistic and in order to be on the same page with the investors, I would say that we are not expecting this gross rate and gross numbers in the coming quarter. Saying that, I would like to, of course, to repeat my speech in the PR is that we totally expect that we will continue the trend of growing. We see a very positive trend. We see a positive request in the markets open, which is – will be in favor of our growth. But the difference between Q4 and Q3 in this specific item is because of the explanation that I just gave to you, okay?
Peter Zdebski: Thank you. That’s great color. And then maybe just a brief update on the Road Track operations.
Eyal Sheratzky: Okay. So the Road Track operation is very dependent on, as I said, on two customers. Both of them are car producers. We have one in Mexico and we have one, which is our customer in Ecuador, Colombia, Brazil and Argentina. The one in Mexico, we find a very enthusiasm from its side to increase the relationship to increase the installation to cover more model of cars from the hardware point of view and also from the service point of view. And we quite sure that based on the discussion that we have that in 2021, we will install in Mexico, a higher number and maybe the highest number of units ever. On the other hand, with the other car manufacturer, in Brazil and Argentina, as we said two years ago, we are no longer a hardware provider. We are only a service provider. So we already showed a very sharp decline during 2019 and even in the beginning of 2020. Now we are not expecting additional decline. But on the other hand, I’m not – I cannot say that we expect growth on these four geographies, but we really will maintain the profitability, the profits.
Peter Zdebski: That does it. Thanks for the question and congratulations on the results.
Operator: The next question is from David Kelley of Jefferies. Please go ahead.
David Kelley: Hi. Thanks for taking my questions. Maybe to start with a solid rebound in aftermarket subscribers. Just curious as to your view on the sustainability of that growth, or even if there’s opportunity for upside. I believe you referenced the robust January SAAR, but also could be some pent-up demand driving that as well, but we’re also having the vaccine ramp up. Just curious as to how you’re thinking about the potential for this aftermarket subscriber growth rate going forward.
Eyal Sheratzky: First of all, I must mention that in the end of the day, there is a lot of influence from the pandemic, as we faced during mid-2020. Now I think – and it looks like, of course, because of the vaccine aspect, but also I think that countries, governments and people understood that all of us have to find a way to live beside, to live with – and we cannot shut down for the rest of our life, all the business and all our life quality. So I think that it looks like – and by the way, in Latin America, for example, there is not yet vaccine, and they still decide not to go for the strategy of lockdowns, three or four months ago. And the markets are open. Of course, there’s some limitations, some obligations, some obey, some not obey, but from our perspective, from the business side, it looks like the business works. Of course, they are not the same sale – car sales that it was in 2019. But it looked like the decline is lower than we were expected. It’s not 20%, 25%, 30% less. It’s going to be, we believe, 10%, 12% less than before the pandemic. And we know as Ituran how to overcome it by gaining more market share, offering more solutions and more applications. Regard Israel and regard the aftermarket subscribers, I want to be conservative, but still say that I believe that we’re going to – the number that we showed in Q4, when most of the markets were open in Israel and in Brazil, and in the U.S., by the way, is giving us a sense of how the next quarters are going to look like. Don’t forget that we are now in a position to reap the fruits of our investments, mainly in UBI, in application for every customer that we charge for it. So we see that we are not only sell fleet management or traditional fleet management, and traditional SVR, we are selling UBI. We are selling application. We improve and expand our fleet management solutions. We provide diagnostic, which three, four years ago, we didn’t have it, et cetera. So I believe that in the aftermarket, we will continue with this trend of being of a number of – this close to 20,000, maybe it’s 17,000 or 22,000, I don’t want to – but of course, much bigger and much higher growth than we showed during 2020, during the pandemic. Absolutely.
David Kelley: Okay, thank you. That’s helpful. And maybe just – I was looking for an update on some of your cost initiatives. There’s some structural cost savings, you’re – the pull out of the model, but I believe compensation expense started to ramp back up last quarter, offsetting that a bit. Could you just walk us through the puts and takes of some of the cost initiatives that impacted Q4? And maybe how we should be thinking about the cost structure into 2021?
Eyal Sheratzky: Okay. So regards compensation, during Q4, majority of our cost savings until Q4, we are back to the times before the pandemic. We changed back all the compensation of – not all, but a major portion of the compensation in the group, the additional will be in Q1 when we had the decision that the employees except very few people like me will back to the normal compensation. And of course, they deserve it. They’ve been with the company during almost a year. All of them were very effective. They work from remotely. They work when they’ve been needed in the offices all around the world. And I’m happy that we are in a position that we took this decision, by the way, before we decide to pay dividend because the employees are in the first stage of Ituran. Regard other expenses, we have to understand. It’s not material, but I must mention it. For example, we have less flights, people not fly. You need to run when we are global company, it has some savings, but all the additional savings, I think, are in a number of a few hundred thousand dollars a year, not more than this. The major portion of the saving was compensation. And in Q4, major part of it already in the numbers that you see, meaning we are not expect a major growth in our expenses in Q4. It maybe be very unmaterial number, but there will be a few tens of thousand dollars for Q1. That’s all.
David Kelley: Okay, got it. Thank you very much. I’ll pass it on.
Operator: The next question is from Asaf Barel Chandali of Oppenheimer. Please go ahead.
Asaf Barel Chandali: Hey, guys. Congrats on a really positive end to 2020, and it’s encouraging to hear that the companies are trying to pay the dividend. On the topic of the dividend, we appreciate fully that we’re not past COVID. The company likes being kind of managed and run in a very conservative way. But what would be the puts and takes as to how the Board might be thinking about dividend levels with the macro outlook normalizes, and more broadly on capital allocation? And then I’ll just add, how should we be kind of interpreting the word minimum when we think about minimum $3 million? Thanks.
Eyal Sheratzky: Okay. First of all, we have to keep – even from a legal perspective because those – all these policies has legal meaning. So we don’t want to be in a position that there is zero flexibility. But also, historically, when we decide on policy or when it was $5 million, if you check back, you’ll see it always was $5 million or so. It was a minimum of $5 million. I would be – I would say that we should expect $3 million per quarter. And I think that quarter – in the next couple of quarters, we will review again what is the situation with the pandemic, how things change in the world, how the company feels. Because there is no doubt that when everybody looks on our balance sheet, there is – and you take a view on the current balance sheet for today without looking future. So you even may say, why not paying more? Because when we take a decision, we cannot change it every month or every twin. All of us know, we’re still in a shaky world. It’s not something very stable. I’m optimistic. I see that we as Ituran should be, and we proved it that even if things will be bad in the world, we know how to overcome it, but still we prefer – and this is part of the DNA of Ituran to be conservative. So we decide to go for the safe side. I would expect as an investor that it will be $3 million. Once we will decide to change it, we will change it. We will declare. We will report. It’s not something that we will surprise people. Although it’s a good surprise, we will not come. The reason that we did the $10 million, which might look like a surprise, it still was on the table. When we had the last quarter’s call, and I’ve been asked the question, I said that I feel that the company in the coming – in the short future will probably review again and take a decision again. And since we didn’t pay dividend almost all the year, we decide, I would say, to compensate this past by paying something as a onetime that can compensate all 2020. This is the reason maybe the $10 million is – might be a little bit surprised. But when we talk about the policy, looking forward, what we said or what we report, this will be the number. It will be $3 million. It will be more. We will change the policy or we let people know in advance.
Asaf Barel Chandali: Okay. Great. That’s very clear. I wanted to just follow-up on a previous question that you guys had on operating expenses. Just to clarify it fully. So there are maybe some minor management kind of salary that may not be at the full levels. But otherwise, when I look at the 4Q operating expenses, I should be kind of thinking at 1Q and 2Q as somewhat plus/minus similar levels. I know that there is some foreign currency that could come and move the numbers. Obviously, that would be adjusted also on the revenues, but just to clarify here.
Eyal Sheratzky: Absolutely. I think that, again, when we not talk – when we don’t want to talk about small change. So Q4 expenses is very close that the actual expenses of Q1. Of course, on local currencies. And we always give – we give a kind of translation in our numbers, how it would look like without the currency effect. But in terms of expenses, the change in Q1 will be very, very minor, which will not be material for the results of the company.
Asaf Barel Chandali: Okay. Great. Any update you guys can give us on how the aftermarket plans in Mexico are going? Any changes in the time line and acceleration in the time line delays?
Eyal Sheratzky: The aftermarket in Mexico, which is mainly something that we are – what we are doing is we are duplicating the ICS, the ICS to one consignor that we do in Brazil, meaning selling Ituran plus insurance. When we have a backup of insurance companies, and we’re kind of in a digital agency, something that we are leading in the Brazilian market. We are almost the sole supplier of those solutions. What we did in Mexico, first of all, of course, we had a delay because of the COVID-19. We didn’t want to start the first campaign and the launch campaign, while everybody are in lockdown and the mood is low. And we, of course, took the advisers – the advice of our marketing and advertising agencies. But now really beginning of 2021, we launched it. And what we did first, which is very important, and I’m very proud that we get to this point, we signed contract with the insurance companies that we needed in order to give us the insurance for the market. Because how it’s worked, people are buying a solution, only safe solution, anti-theft solution with insurance from Ituran. And since Ituran cannot sell insurance, we cannot provide insurance. We have to have a backup. We have to have partners. So this is something that we have mainly use in Brazil. So today, it looks like ongoing. But to create it at the beginning, it’s very difficult because the insurance companies, by the way, taking a risk of cannibalism for themselves. Because when I sell a specific insurance, people can decide to buy this insurance and not their full insurance, which they make more money. But we succeed to convince insurance companies in Mexico that the cannibalism will be very low, and they open a new segment through us. So I’m really optimistic, but we have to understand. It’s like creating a new business. It’s not something that in 2021, in the end of the year, you will ask me how it goes. What is the contribution? It will be low contribution. But since it also as an operating leverage business. And since we – once you educate the market, which will take one year, 18 months to educate the market that there is a new solution for insurance. It’s like – I would compare it, for example, to a digital insurance when the first digital insurance company launched, I think they had some difficulties. But today, probably, they are the leaders. We always have difficulty when you have to educate market with a new product, new solution. They have to trust you, et cetera, and it takes time. But the first pilot, which is in a low flame and low numbers that we just did recently, really in the last week, a few weeks, looks very, very good. It looked better than when we start 10 years ago in Brazil. If I want to compare the first months in Brazil 10 years ago, in the first months in Mexico, Mexico looks better. How long it’s going to take? It will take time. Ituran today is a business of $250 million a year. It’s very difficult to provide growth organically in few weeks or few months. But I look more longer-future, mid-future, 2023, 2024. I feel confident or I hope that this is going to be a very important arm of our future growth.
Asaf Barel Chandali: Okay. Great. And then with respect to UBI, Israel. I mean I assume it’s part of the really kind of nice rebound that we’re seeing in the aftermarket growth, but any change there with how you’re thinking about going international with it? Any kind of update we can get on that timeline?
Eyal Sheratzky: Absolutely right. This is part of our, I would say, success in growing our aftermarket subscribers. I must say that since the Israeli market, and also the Brazilian market, back to sell cars in a very high numbers. We also succeed with our traditional SVR solution to grow our subscribers. I mean during the pandemic, we thought that we will find ourselves selling or growing only in the UBI. Today, a few months after – again, after the car sales renewed, I see that we have, also, SVR sales, also growing in our SVR subscribers. But of course, the UBI pushing it stronger and looking forward and I see how the UBI is growing. Again, I just want to remind you, we started, again, all about 15 months ago, and it’s the exactly the word that I said, it will take time. It will not influence 2020. But now in 2021, absolutely, the number will be more – with more major influence. Of course, again, it’s not – we not count only on UBI, but UBI has a very strong influence on growing subscribers. And this is even before all the insurance companies that signed contract with us already integrated and start sell it. I mean we still have additional insurance companies. And don’t forget, again, it’s also an educating – we educated the market less than a year ago. And we are talking about thousands of new subscribers a month after a year. So I’m very happy and proud that we are in this trend. Regard compete to other markets. The main markets are – our other markets are in Latin America. And I think that Latin America is in a stage like Israel was three years ago. Until three years ago, that insurance companies didn’t understand what is our offering because they were very traditional orientation. They didn’t want to change the traditional insurance policy and insurance way of sell it through brokers, et cetera. And then the digital insurance companies penetrate to Israel. The price went down. And in order to compete with those companies, they have to go out of the traditional way, and that was the door or the window that we’re getting. Because today, they can offer a cheaper policy, and to compete among new digital insurance companies. Now in Latin America, specifically in Brazil and in Mexico, I think they are one or two legs behind Israel. So we try because we have the solution, we have the technology, we have the relationship. I must say that the insurance companies are very polite in letting us know that they are not interesting, not in Ituran solution, but in this solution. But 15 years ago, nobody thought that we will have iPhones. And now everybody has an iPhone. We are – when somebody is through us from the door, we come from the window. And if the windows close, we come through the wall. And we will be there. We have a strong relationship in – with insurance companies in Brazil that trust us. And I believe that as long as we continue to sell ICS and to sell the insurance company solution for SVR, they – in one day, this door will open, and we will be the supplier like in Israel. I hope and believe that we will be leaders. This is in Latin America. But now I don’t see sales come from UBI out of Israel.
Asaf Barel Chandali: Okay. Great. Great. Last question from my end. A bit more of a technical question. CapEx was obviously lower this year relative to last year. Again, I know that there are probably some currency impact here. But how should we be thinking about spending in 2021? Is there anything that may have been delayed that might have to be even raise the number a little bit higher? Any kind of guidance there would be helpful in modeling?
Eyal Sheratzky: Basically, the CapEx – the majority of the CapEx relates to the end unit that we are selling as comodato in Latin America, especially in Brazil and Argentina. And again, due to the – in this year in 2020, due to the pandemic, of course, there were less sales. And that means, let’s say, also less CapEx, less purchases of units.
Asaf Barel Chandali: Any kind of general number that we should be thinking about? On the CapEx, I mean, should I be looking at it as a proxy from the products revenues that are going to be coming in? I mean how does that get timed relative to the quarter? Any kind of guidance there would be helpful.
Eli Kamer: It’s really hard to say, especially with the pandemic now. I would say – I mean, I would say, if you want to take somewhere between 2020 and 2019, an average of those, I believe this is something that can be represented for 2021.
Asaf Barel Chandali: Okay. That’s great. That’s very helpful. Okay. Thank you guys for taking my questions.
Eli Kamer: Thank you.
Operator: The next question is from Ethan Etzioni of Etzioni Portfolio Management. Please go ahead. Ethan?  There are no further questions at this time. Before I ask Mr. Sheratzky to go ahead with his closing statement, I would like to remind all participants that a replay of this call will be available tomorrow on Ituran’s website at www.ituran.co.il. Mr. Sheratzky, would you like to make your concluding statements?
Eyal Sheratzky: Thank you. On behalf of management of Ituran, I would like to thank you our shareholders for your continued interest and long-term support of our business. I do look forward to speaking with you next quarter, and hope that we will all see better times by then. Have a good day.
Operator: Thank you. This concludes the Ituran fourth quarter and full year 2020 results conference call. Thank you for your participation. You may go ahead and disconnect.